Operator: Good day, everyone, and thank you for standing by. My name is RG, and I will be your conference operator today. At this time, I would like to welcome everyone to the Cactus Q1 2025 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I would now like to turn the call over to Alan Boyd, Director of Corporate Development and Investor Relations. Please go ahead.
Alan Boyd: Thank you and good morning. We appreciate you joining us on today's call. Our speakers will be Scott Bender, our Chairman and Chief Executive Officer; and Jay Nutt, our Chief Financial Officer. Also joining us today are Joel Bender, President, Steven Bender, Chief Operating Officer; Stephen Tadlock, CEO of FlexSteel; and Will Marsh, our General Counsel. Please note that any comments we make on today's call regarding projections or expectations for future events are forward-looking statements covered by the Private Securities Litigation Reform Act. Forward-looking statements are subject to a number of risks and uncertainties, many of which are beyond our control. These risks and uncertainties can cause actual results to differ materially from our current expectations. We advise listeners to review our earnings release and the risk factors discussed in our filings with the SEC. Any forward-looking statements we make today are only as of today's date and we undertake no obligation to publicly update or review any forward-looking statements. In addition, during today's call we will reference certain non-GAAP financial measures. Reconciliations of these non-GAAP measures to the most directly comparable GAAP measures are included in our earnings release. With that, I will turn the call over to Scott.
Scott Bender: Thanks, Alan. And good morning to everyone. I'm pleased with our strong start to 2025, which saw record levels of pressure control product revenues per rig, combined with record first quarter bookings and our Spoolable technologies business. The market outlook has changed considerably since we last spoke, but these first quarter records and our business fundamentals continue to demonstrate why we outperform market activity trends and support our expectations about our ability to continue to do so. We cannot control the change in the general outlook for our industry, but we can control our rapid response. I continue to be very proud of our associates' commitment to delivering for our customers, despite market and supply chain uncertainty. Some first quarter total company highlights include revenue of $280 million, adjusted EBITDA of $94 million, adjusted EBITDA margin of 33.5%. We paid a quarterly dividend of $0.13 per share, and we increased our cash balance to $348 million. I'll now turn the call over to Jay Nutt, our CFO, who will review our financial results. Following his remarks, I'll provide some thoughts on our outlook for the near term before opening the lines for Q&A. So Jay.
Jay Nutt: Thank you, Scott, and good morning, everyone. As Scott mentioned, total Q1 revenues were $280 million, which were up 3% sequentially, and total adjusted EBITDA was $94 million, up 1.2% sequentially. For our Pressure Control segment, revenues of $190 million were up 7.7% sequentially, driven primarily by customer drilling efficiencies, leading to record levels of products sold per rigs followed. Operating income increased $3.5 million, 6.9% sequentially, with operating margins decreasing 20 basis points and adjusted segment EBITDA increased $3.3 million or 5.3% sequentially with margins decreasing by 80 basis points. The margin decline was primarily due to reserves taken in connection with litigation claims. For our Spoolable Technologies segment, revenues of $93 million were down 3.6% sequentially on the expected lower domestic customer activity in the seasonally slow quarter, partially offset by increased international shipments. Operating income decreased $1.6 million, or 6.5% sequentially, with operating margins decreasing 80 basis points, due to lower operating leverage. Adjusted segment EBITDA decreased $1.8 million, or 5% sequentially, while margins decreased by 50 basis points. Corporate and other expenses were $9.6 million in Q1, up $3.7 million sequentially, resulting from professional fees associated with the evaluation of growth initiatives with a focus on international expansion. Adjusted corporate EBITDA was $4.4 million of expense. On a total company basis, first quarter adjusted EBITDA was $94 million, up 1.2% from $93 million during the fourth quarter. Adjusted EBITDA margin for the first quarter was 33.5%, compared to 34.1% for the fourth quarter. Adjustments to total company EBIT during the first quarter of 2025 include non-cash charges of $6.1 million in stock based compensation and $3.5 million for professional fees associated with growth initiatives. Depreciation and amortization expense for the first quarter was $16 million, which includes an ongoing $4 million of amortization expense related to the intangible assets resulting from the Flexsteel acquisition. During the first quarter, the public or Class A ownership of the Company averaged and ended the period at 86%. GAAP net income was $54 million for the first quarter versus $57 million during the fourth quarter. The decrease was largely driven by professional fees incurred at corporate. Book tax expense during the first quarter was $17 million, resulting in an effective tax rate of just under 24%. Adjusted net income and earnings per share were $59 million and $0.73 per share respectively, compared to $57 million and $0.71 per share in the fourth quarter. Adjusted net income for the first quarter was net of a 25% tax rate applied to our adjusted pretax income. During the quarter, we paid a quarterly dividend of $0.13 per share, resulting in a cash outflow of approximately $11 million, including related distributions to members. Additionally, we made a cash tax payment and associated distributions of approximately $25 million in January related to deferred estimated 2024 taxes, as discussed during the fourth quarter call. We ended the quarter with a cash balance of $348 million, a sequential increase of approximately $5 million. This increase was lower than our usual cadence, due to the 2024 tax payment, the build of inventory in our Spoolable business in anticipation of seasonally stronger second and third quarters and some continued elevated inventory balances in our pressure control business to mitigate tariff impacts. Additionally, strong March revenues led to increased accounts receivable balances at quarter end. Net CapEx excluding the equity investment in Vietnam was approximately $9 million during the first quarter of 2025. In a moment, Scott will give you our second quarter operational outlook. Some additional financial considerations when looking ahead to the second quarter include an effective tax rate of 21% and an estimated tax rate for adjusted EPS of approximately 25%. Total depreciation and amortization expense during the second quarter is expected to be approximately $16 million with $7 million associated with our Pressure Control segment and $9 million in Spoolable Technologies. We are reducing our full year 2025 net CapEx outlook, including the $6 million equity investment, to a range of $40 million to $50 million, given the latest market uncertainty, while maintaining critical investments to support our manufacturing diversification strategy and enhance efficiencies in our Baytown manufacturing plant, we will continue to evaluate further reductions to this planned spend as the year progresses. Finally, the Board has approved a quarterly dividend of $0.13 per share, which will be paid in June. This covers the financial review and I'll now turn the call back over to Scott.
Scott Bender: Thanks, Jay. I'd like to begin by clarifying our current understanding of the tariff rates that will impact our Pressure Control business and better quantify the import exposures that we are mitigating. By mid-next year, we expect the tariff impact to our business to be neutralized, and we are taking several near and medium-term actions to achieve this. We are increasing alternative sourcing of product where possible, rolling out our new wellhead design, but most importantly, we are ramping up production from our Vietnam facility and working with our customers to support these cost increases while ensuring on time product delivery. For the past several years, we've paid a Section 301 tariff of 25% on goods imported from our Chinese manufacturing plant. Currently, we are paying an additional 45% or more on tariffs -- I'm sorry, additional 45% or more tariff on our imports from China. Our products imported from Vietnam currently incur the new Section 232, 25% tariff applied to nearly all countries, the same rate that was applied to imports from our Chinese facility before the recent tariff increases. While we had expected no additional tariffs from Vietnam, the 25% tariff will replace the Section 301 tariff we had already -- we had already been paying since 2018. So to be clear, we expect that sourcing from Vietnam will put us back into the same tariff position we've been operating under for the past several years. Moreover, we believe Vietnam will provide us with an advantage over the vast majority of our competitors who rely primarily on Chinese imports and do not have material US manufacturing. The dollar value of goods that we currently import from China exposed to tariffs is highly variable and changing rapidly, given these revised rates. But I can share a framework for how to approximate our total imports. In 2022, the last year we reported specific product cost of sales before the acquisition of FlexSteel, our pressure control product revenue represented approximately two-thirds of our total revenues. Our product gross margin can be found in historical filings from the same period. Both this product proportion of sales and the gross profit margin are close enough to recent results to utilize -- to approximate our total Pressure Control product cost of goods sold. As we've shared previously, about half of our product cost of goods sold relates to imports from China, and approximately 80% of our product costs are direct, which relates primarily to material costs and freight. These factors can be taken together to calculate the dollar value of our imports that the tariff expense applies to, which I think you'll agree is relatively small compared with the total size of our business today, particularly including the contribution of Spoolable Technologies. So, to reiterate, we expect to neutralize the increased tariff expenses by mid next year. And although our margins may face modest compression between now and then, our inventory on hand and mitigating efforts will allow us to largely preserve our profitability on an absolute basis. I'll now move into our expectations for the second quarter of 2025 by reporting segment. Notwithstanding strong momentum in April in both segments for the second quarter, we expect pressure control revenue to be down low miss -- low to mid-single-digits versus the $190 million reported in the first quarter. The anticipated decline is largely due to moderating levels of product sold per rig, followed after a record first quarter and a decline in average activity levels. From speaking with our customers, we believe that second quarter average US land drilling activity will be down slightly from first quarter average levels and the industry will exit the second quarter with approximately 30 fewer land rigs operating than today. The activity decline is likely to continue as the year progresses and our customers reset their budgets, given weaker commodity prices and tariff impacts. Adjusted EBITDA margins in our Pressure Control segment are expected to remain stable at 33% to 35% for the second quarter. This adjusted EBITDA guidance excludes approximately $3 million of stock-based comp expense within the segment. Regarding our Spoolable Technology segment, we expect second quarter revenue to be up mid to high single-digits from the first quarter. We believe normal second quarter seasonal expansion will more than offset the expectation of lower average US land activity levels. We booked record Q1 orders providing us increased confidence in this outlook. Sales to international locations were up 30% quarter-over-quarter driven by robust demand in Canada where we had our strongest quarter since acquiring this business. In April, we also produced and shipped our first commercial order of sour service pipe for high H2S applications. We're excited about the opportunities of this product, particularly in the Mideast market. We remain optimistic in our business performance, despite uncertainty in the general macro environment. As a reminder, we have a high quality customer base in our Spoolable Technology segment with approximately 70% of our revenue coming from majors, large EMPs and NOCs. These customers tend to be more resilient in their purchasing practices in the private and small EMPs in a lower commodity price environment. We expect adjusted EBITDA margins to be approximately 35% to 37% for Q2, which excludes $1 million of stock-based comp in the segment. Given our US manufacturing footprint, our Spoolable Technology business is much less directly impacted by tariffs than our Pressure Control business. However, we have experienced an increase in steel input costs year to date. Although most of our steel inputs are sourced domestically, markets have adjusted pricing to reflect tariffs regardless of where the steel is sourced. Adjusted corporate EBITDA is expected be in the -- to be a charge of approximately $4.5 million in Q2 which excludes $2 million of stock-based comp. Regarding our international expansion plans, we remain committed to establishing an international business but have no further updates that we can share at this time. I can assure you our leadership is very focused on this initiative. In conclusion, we had a strong start to the year in both segments. Although the industry outlook has clouded considerably in the last 90 days, I remain confident that we will deliver strong returns in cash and cash flows through this cycle. Given our supportive customer base and our industry-leading diverse supply chain and manufacturing cost profile, my management and I are unfortunately not strangers to making the difficult decisions necessary to preserve returns during market cycles such as this. And we have shown -- and as we've shown in prior downturns, one positive implication is that operators tend to high-grade suppliers such as Cactus in times of supply uncertainty. We have received several recent inquiries about expanding business with customers in areas we have not historically serviced, which supports this thesis. And with that I'll turn it back over to the Operator, and we can begin Q&A. Operator?
Operator: [Operator Instructions] We will pause for just a moment to compile the Q&A roster. Your first question comes from the line of David Anderson from Barclays. Please go ahead.
Scott Bender: Hey David, how are you?
David Anderson: Vietnam, sound -- sounds like you're going to be 100% shifting over from China in about a year. I'm curious on the Bossier City side though, which appears to be an even greater structural advantage. However, you have talked about some higher costs from importing the steel. I'm curious if you could talk about how you've mitigated that so far. Have you been able to source in other areas? And even with that I'm just kind of curious net-net, how much of an advantage is it today in terms of cost for a customer in Bossier City versus China? I'm just curious what that looks like to -- and what he's looking at.
Scott Bender: David, we've never described Bossier City as a low-cost operation. It's a -- it's a fast turnaround, sort of a robust manufacturing environment, which is frankly anything but high cost. I mean high -- low cost. What it frankly does is protect our market share by ensuring that we make deliveries. So I can just tell you that the steps that we're taking -- and you're right, migrating to Vietnam for sourcing for the US, in addition to several other initiatives will mean that our supply chain will still be heavily skewed towards non-Bossier City manufacturing, despite the fact that they account for 50%. I really -- I really don't think that we'll be able to get Bossier much over 50%. And the reason for that is there's not that much US manufactured steel. So although Bossier buys its steel in the US, that doesn't mean the steel has been sourced in the US.
David Anderson: Understood on that. We often talk about passing through higher input costs to customers. And I don't mean to diminish your performance in the first quarter, but I'm wondering is -- have you seen any pull forward in the first quarter of customers trying to get ahead of some of these terrorists? I heard Jay mention some -- pulling some more supply chain to get ahead of them. I'm curious how your customers are looking at that today. And in the past, we often talk about confidence and passing all this through to the customer. Are you still convinced that the customer can absorb all this? I realize you're a small part of this AFE, but I'm just curious how you think your customers are going to behave in this environment. Thank you.
Scott Bender: Yes. So we -- maybe we didn't make this clear. Yeah. Well, once Vietnam replaces China, we're going to be largely neutral in terms of tariffs. Okay? So you understand that. I think that during this interim period, in addition to the various sourcing initiatives that we're taking, our -- am very confident that our customers will bridge the gap. So while our profit margin percentages will decline, our absolute profitability will be maintained. And so, yes, I am confident of that.
David Anderson: Great. Thank you, Scott.
Scott Bender: David, you had another. Yeah, what was your first question?
Operator: Your next question comes from the line of Stephen Gengaro of Stifel. Please go ahead.
Stephen Gengaro: Thanks. Good morning, everybody. Well, thanks for all the details. I think my first question -- and I just -- so I think tags on to what Dave asked. But when you look back at kind of prior downturns and cycles and your conversations with customers, you -- I -- to my knowledge, you've never kind of lost a customer permanently, right? They tended to stick with you because of the quality of the product, et cetera. What do you -- what do you expect to see in this downturn? Is there -- is there any difference in sort of the way customers are acting or you expect them to act as they sort of navigate this uncertain period?
Scott Bender: Well, forgive me, Steve. I'm going to answer David's question -- the first question he asked. Are we seeing customers trying to pull forward purchases? Yes, we have had many requests from customers to pull forward purchases, 100% of which we have denied. So, yes, they -- they're doing the same thing that we're trying to do, but we've not allowed them to do that because that is -- it's not fair to our other customers to deplete our pre-tariff inventory. So I apologize, David, for not responding. And then Stephen, you want to know --
Stephen Gengaro: Well, it seems like you -- you've obviously you won't -- we don't talk market share anymore, but it's high and you're a key -- a key cog in the wheel for your customers. So I would imagine that they are -- they're sticking by you and not kind of shopping lower price because of the sloppy environment, similar they've done in prior cycles. I just want to make sure that's an accurate conclusion.
Scott Bender: Yes, I would say that it is an accurate conclusion. Our major customers are sticking by us. I'm not going to tell you that they're not competitors out there, who are not going to try to take advantage of our -- of our -- of our request for support. But I don't see it as any different than it has been in the past. So, our best defense has been transparency with our customers, and we've always been transparent with them. We don't take advantage of them. And the fact that we're -- I -- to my knowledge, we're really the only supplier who can guarantee delivery and sustainability. So while there might be a few competitors out there, who might be able to say, I'm not going to pass the tariff impact that as soon as they deplete their inventory, they're going to have to replace it with higher cost or not replace it at all. The customers with whom we do business, the most important thing to them is sustainability of supply chain, and we truly are the only ones going to offer that.
Stephen Gengaro: Great, thank you. And the second question I had was around sort of M&A opportunities in this environment. I mean obviously the cash balance is very good. You guys are always are -- I think always -- but you're seeking transactions that are proprietary, accretive, cash generating, et cetera. What do you think you'll see in this -- in this macro environment? Like you think this creates opportunities for you, given how strong the balance sheet is? And anything you can -- you can shed light on that topic would be helpful.
Scott Bender: Yes, Steve, it's no surprise to you that private equity can't give anything away right now. So I don't think there's a single investment in oilfield service that's owned by private equity that's not available at an attractive price. FlexSteel was a rather unique opportunity. I can't -- I think maybe we have seen one or two that are similar to that. But right now, my focus is on the business that we're in, the industry that we're in. So I wouldn't dismiss another FlexSteel. And I think they're going to be more and more FlexSteel-looking opportunities, as I say, primarily from private equity. But our focus right now is on our industry.
Stephen Gengaro: Great. Thanks for the color.
Operator: Your next question comes from the line of Scott Gruber of Citigroup. Please go ahead.
Scott Bender: Hey Scott. How are you?
Scott Gruber: Yes, good morning. Doing well. I missed the revenue guide for pressure control in 2Q. Can you repeat that? And then, this -- on the EBITDA dollar preservation, which is super impressive, yeah, Dave asked about pushing pricing. I was also curious about startup costs in Vietnam. Are those material? Will those be a weight on near-term profits or are those really de minimis?
Scott Bender: They're de minimis. I hate to use the word de minimis since it was in the Wall Street Journal today. Did you read that article?
Scott Gruber: No, [Multiple Speakers].
Scott Bender: De minimis tariffs. Anyway, I don't want to use the word de minimis. So our second quarter guide, revenue wise, Alan?
Alan Boyd: Was down low to mid-single digits.
Scott Bender: Yes, okay.
Scott Gruber: Okay, appreciate that. And then also on Vietnam, we saw the investment --
Scott Bender: Let me answer Vietnam for you. I don't know if we've explained this clearly enough. We have two operations in Vietnam, and we have already funded the primary operation, the one that replaces Suzhou. So it's done and dusted and except for maybe, I don't know, a couple hundred thousand dollars, there's really not much additional money to be spent. I think most of it, Joel, is it IT-related?
Joel Bender: That's all that's left is the final IT then.
Scott Bender: The final IT, which is always the last thing to go in, but it's already producing goods. So you'll have no surprises.
Scott Gruber: Got it. And I was curious about the supply chain in Vietnam or the region, really your ability to kind of move away from the China -- Chinese supply chain. Are you -- are you going to be able to source forgings and castings from either Vietnam or other countries in order to completely kind of move away from China?
Scott Bender: You are a very clever questioner. So as much as I hate to respond to this question, I have to tell you that we will be more fully integrated. Can I leave it at that in Vietnam than we are in China?
Scott Gruber: Sure. Since you gave me a compliment, you can leave it there. Okay. I appreciate it.
Operator: Your next question comes from the line of Arun Jayaram of J.P. Morgan. Please go ahead.
Scott Bender: Good morning.
Arun Jayaram: How you see the mix of Vietnam manufacturing as a percentage of the total and pressure control kind of evolving as we move through year end and call it mid-year of next year?
Scott Bender: Yes. So the ultimate goal is that Vietnam will provide 100% or close to 100% of what China provided for the US market. And the Chinese operation will devote its resources to the international markets.
Arun Jayaram: Got it, got it. And you feel like you can get there by middle of 2026.
Scott Bender: The only thing really standing between us and that is the fact that we have to wait for API. API has this -- I think I mentioned this before. API has a requirement that you have to be up and running that four or five -- four months, Joel?
Joel Bender: Four months.
Scott Bender: Yes.
Joel Bender: Yes. Need to have done an internal audit (multiple speakers).
Scott Bender: Okay. So, we already started. So once we get API in there and we get our monogram, then we can get monogram product. But that's not to say we're not shipping already, because we are. It just means that we can't ship fully assembled and tested. It means we have to finish it in Bossier and then we can monogram it. But we have to add value in Bossier. Once we see API monogram, it can stand alone and ship without any additional expense in Bossier City. But, yes. Both Vietnam was designed to fully replace the -- our US requirements.
Arun Jayaram: Great, great. And then my follow-up is you guys use the average cost method of inventory for accounting purposes. So, is it fair to say that 2Q will not fully reflect the impact of tariffs on Chinese goods? And so, we're -- trying to maybe understand. Got quite a few questions on the buy side, maybe to help understand what type of margin or EBITDA impact could we see in the second half when your inventory perhaps reflects the leading edge costs, unfortunately, because of these tariffs.
Jay Nutt: Yes. Arun, this is Jay. So we -- we'd say we're on a standard cost basis, but we are rolling our standards, given these unusual tariff increases, and we have quite a bit of pre-tariff inventory on hand. So as we roll our standards and take up the cost, we also have the benefit of the amortization of the standard cost roll that provides us some relief over the back half of the year. So -- and we turn our inventory about two times a year. So we think that we will see some margin comp -- a little bit of margin compression in the back half of the year. But as we diversify the supply chain and sourcing initiatives, that will help mitigate some of the impact on the margins.
Arun Jayaram: Great, thanks a lot.
Operator: [Operator Instructions] Your next question comes from the line of Jeff LeBlanc of TPH. Please go ahead.
Jeff LeBlanc: Good morning, Scott, and team. Thank you for taking my question.
Scott Bender: Good morning.
Jeff LeBlanc: I just wanted to see if you could share your thoughts on the potential ongoing Section 232 investigation that the administration has ordered by the Secretary of Commerce to conduct.
Scott Bender: The additional 232 is steel, aluminum and derivatives, right?
Jeff LeBlanc: Right. I thought that they [indiscernible] Yes, I thought that they -- the direct -- the Secretary of Commerce was directed to conduct an ongoing investigation the impact the US govern or the US economy. Excuse me.
Scott Bender: Oh, I'm sorry to see how -- yes, I did read that. I don't -- I'm not sure I can really opine on that, but -- and I don't want to get political, but it's -- there's only one conclusion. The US does not have adequate steel-making capacity to avoid imports. And so if we're going to ramp up manufacturing, it's -- we're going to rely upon countries who are willing to sell us steel. So the answer is it's got to be -- it's got to be inflationary. I don't see any way to avoid that. I know -- I just -- as an anecdote, we've always been a large, large consumer of forgings for our industry way back it -- from our Wood Group days and our Ingram Cactus days, those forged companies, who are capable of producing this unique sort of steel, because we don't just buy steel, we buy shaped forged steel -- are either out of business completely and gone, or they converted their manufacturing to munitions. In fact, a good friend of mine, who owns the largest forge company in our area took us on a tour, and he is so full of government work that, he just told me, I'm never going back. It's -- the cost is attractive -- I'm sorry, the selling price is attractive and the sustainability is pretty much assured. And he's just not terribly interested in the volatility of oilfield service requirements. So that's a -- they can spend as much money as they want. That's the conclusion, there ain't no steel.
Jeff LeBlanc: Okay, so the idea, though, is that there wouldn't be incremental sanctions or incremental tariffs related to that investigation? It just isn't --
Scott Bender: I mean it's -- the existing 232 -- sorry for interrupting you. The existing 232 have -- has -- I don't -- it's got to be inflationary. So additional 232 tariffs could be nothing but more inflationary. There is no substitute for imported steel. And I don't see anybody building a steel mill right now suitable for our industry.
Jeff LeBlanc: Okay, thank you very much for the color. I'll hand the call back to the Operator.
Operator: Your next question comes from the line of Don Crist of Johnson Rice. Please go ahead.
Scott Bender: Good morning.
Don Crist: Good morning, guys. I wanted to ask one question on the sour flexible pipe that you -- FlexSteel pipe that you shipped. Obviously, that's open -- opening up a new market and just kind of your thoughts around how big you think or how material that order is and kind of how big that market you think can grow in the next couple years? Because I know there's a lot of sour oil out there.
Scott Bender: Yes, Steve. So in terms of the North American market, I think well we'll just continue to get more sour over time. So we think it's a -- it's a growing opportunity in North America. But given kind of the robustness of our pipe and the makeup, it's not -- we're certainly not the cheapest alternative. In general, when people choose FlexSteel, they choose it for the reliability, robustness and they're willing to pay the premium. And that's going to be the case in sour service. So it's going to be, I think, a small percentage of our sales, but a growing percentage over time. It's more material -- more immediately, I think, once we pass some qualification testing, which I think will be sort of something within a 12-month time frame for the Middle East, because in the Middle east significant -- I mean most production has pretty high H2S content. So we see a lot of opportunity there. Traditionally in the Middle East, we've been more used in water injection applications, but we're really pushing use of our pipe in unconventional as well as in the sour area. So we're pretty excited about the potential.
Don Crist: Right, yes. And that's kind of what I was -- I was pointing towards was the Middle East using a whole lot more pipe because it's sour classification. I'll turn it back to the Operator. Thank you.
Operator: That ends our Q&A session, and we appreciate your participation. I would now like to turn the call back over to Scott Bender, Chairman and CEO, for closing remarks. Please go ahead.
Scott Bender: Okay, thanks everybody for listening. I know this tariff issue is on everybody's mind. If you were all in here, I'd pat you on the head and tell you that I'm very comfortable that we have this under control. I also would add that historically downturns have been good for our business. They've always created opportunities with new customers, and we're already seeing those opportunities right now, in fact, a little earlier than I had anticipated. So just as we've always come out of these periods stronger, I'm really comfortable that we'll do the same. Anyway, everybody have a good day, and thanks for calling in.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.